Operator: Ladies and gentlemen, good morning, and welcome to the Energy Vault Q2 FY '22 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator instructions] As a reminder, this conference is being recorded.  I will now turn the call over to Mr. Laurence Alexander, Chief Marketing Officer. Please go ahead.
Laurence Alexander: Thank you, and good afternoon, and welcome to Energy Vault's Second Quarter 2022 Earnings Conference Call. As a reminder, Energy Vault's earnings release and a replay of this call will be available later today on the Investor Relations page of our website. This call is now being recorded. If you object in any way, please disconnect now.  Please note that Energy Vault’s earnings release, and this call contain forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are only predictions and may differ materially from the actual future events or results due to a variety of factors. We caution everyone to be guided in their analysis of Energy Vault by referring to our 10-Q filing for list of factors that could cause our results to differ from those anticipated in any forward-looking statements. We undertake no obligation to publicly update or revise any forward-looking statements, except as required by law. In addition, please note that we’ll be presenting and discussing certain non-GAAP information. Please refer to the Safe Harbor disclaimer and non-GAAP financial measures presented in our earnings release for more details including a reconciliation to comparable GAAP measures. Joining me on the call today is Robert Piconi, our Chairman and Chief Executive Officer, and David Hitchcock, our Interim Chief Financial Officer.  At this time, I'd like to turn the call over to Robert Piconi.
Robert Piconi: Great, thank you, Lawrence, and welcome everyone to our second quarter 2022 financial results conference call. I want to start my remarks today with an overview of the key highlights from the quarter, including the recently announced project awards that you may have seen come across this morning in our release representing approximately 1 gigawatt hour of new projects. David Hitchcock, our Interim Chief Financial Officer will then walk you through the financial results in more detail before we open the line for questions.  We made strong progress with what we achieved through the second quarter if we continue to execute on our 2022 regional priority for deployment as we originally planned in the U.S., Australia and China that provide us tremendous momentum going into the second half of 2022, while setting ourselves up well for 2023.  Let me start in Australia. We're building on our announced strategic partnership with Korea Zinc group. We announced the commencement of site and feasibility planning with Ark Energy, the Australian wholly owned subsidiary of Korea Zinc for multi gigawatt hours of both long and short duration storage projects supporting its sister company Sun Metals Corporation in North Queensland, Australia, given their stated commitments of being powered 80% by renewable energy by 2030. In November, 2020, Sun Metals joined the RE100 and plans to become one of the first refineries in the world to produce green zinc.  More recently in May 2022, Ark Energy announced a friendly acquisition of a Epuron Holdings in Australia, and now has a portfolio of approximately 9 gigawatts of future wind and solar projects to support its strategy to become one of the largest producers of green hydrogen in Australia.  Over to China, we previously announced the groundbreaking of Atlas renewables 25 megawatt, 100 megawatt hour gravity based storage solution, and construction continues to proceed as planned. All permitting site activities and initial civil works have progressed well through the summer after some initial delays coming out of the COVID related shutdown in Shanghai. With all 1200 foundation pilings completing this month. The focus now shifts to the foundation, the fixed frame build-up, and the power electronics, which are all underway in parallel with the composite brick production locally.  We expect mechanical completion and the beginning of system commissioning in the fourth quarter this year. Energy Vault will directly support on site, the 100 megawatt hour project in Q4, and into next year with the power electronic startup, overall system mechanical completion, and final system and software commissioning to full operation.  I want to provide a bit more color on the local development activities in China as well. Atlas Jiangsu in collaboration with the Energy Investment Professional Committee of investment association in China are referred to as EIPC has also engaged with China's top-5 state owned enterprise power utilities and energy companies in discussions to support their decarbonization processes by providing Energy Vault resiliency centers based upon our EVx platform.  Additionally, multiple 100 megawatt hour projects are under development across China, as well as larger gigawatt hour gravity storage projects and other provinces under the Zero Carbon Park initiative, also sponsored by EIPC. In collaboration with EIPC and with additional support from the National Center for Sustainable Development and the Bush Global Advisors Group, Atlas renewable will partner with EIPC’s five regional zero carbon park programs across China. A key objective of this will focus on the value of the EVx technology storage solution to support local grid and regional industrial renewable power needs. Atlas renewable is supporting the efforts by EIPC to demonstrate Energy Vault’s gravity, energy storage technology for inclusion in the new China energy green standard.  To better ensure direct local support and more financial flexibility, Energy Vault is establishing a wholly owned foreign subsidiary in China, which is expected to be operational in October 22 to support Atlas, China Tianying and the China market more broadly.  Shifting to the U.S. market. We received a limited notice proceed with Enel Green Power in May 2022, which continues to be on track with the upcoming deployment of the first U.S. based gravity system in Snyder, Texas, which is expected to break ground in the next 60 days.  In May, we also announced with DG Fuels the doubling of size and increased scope of our previously announced project and providing the production of green hydrogen to support the biomass waste energy process in the manufacturing of sustainable aviation fuel. Under the terms of the original agreement, Energy Vault agreed to provide 500 megawatt hour for the first three projects starting in Louisiana. This specific project was increased in capacity and now developed to support up to 73 megawatts for 16 hours, reflecting a total of 1.168 gigawatt hours in storage capacity for this first project.  DG Fuels plans to follow the Louisiana project with additional projects in British Columbia and Ohio, with an opportunity for total storage capacity of 2.234 gigawatt hours overall, and up approximately 735 million in project revenue over time as previously announced in the quarter.  In April, we announced a signing of a Memorandum of Understanding or MOU for gravity based energy storage technology and our energy management service platform with NTPC, India's largest power generating utility to support their clean energy transition. The MOU is to collaborate and formalize a long-term strategic partnership for the deployment of Energy Vault’s EVx gravity based energy storage technology, and its energy management software solutions based on the outcome of a joint feasibility study, which is underway now. This is a tremendous landmark day for Energy Vault and the execution of our software and Energy Vault Solution strategy announced just 9 months ago with the addition of John Jung and Akshay Ladwa to the Energy Vault team in November, 2021.  Today, we are making multiple project award announcements, totaling nearly 1 gigawatt an hour progressing our first Energy Vault Solutions project integrating battery energy storage systems. Our technology agnostic energy management software platform extends our offering to enable both short and long-term duration storage solutions with diverse underlying storage technologies. EVS now enables our customers to utilize the same software platform across their energy generation and storage platforms, while future proofing their evolution to longer duration storage as renewable energy continues to grow as a percentage of the power generation mix. We are announcing 3 project awards today. A 275 megawatt hour project with Wellhead Electric and W Power in Southern California. A 220 megawatt hour project to provide energy and ancillary services to the ERCOT market in Texas and resource adequacy to the CAISO market in California with a leading independent power producer. And finally, a 440 megawatt hour project with a large Western U.S. public utility. All of these awards will be followed shortly with customer announcements. The project with Wellhead Electric is a 275 megawatt hour energy storage project in Orange County in Southern California. Through our EVS team, we will deploy a 68.8 megawatt battery energy storage system at Wellhead’s Energy Reliability Center in Stanton, California, provide enhanced resources and improved grid reliability to the Southern California Edison territory. The Stanton Energy Storage System will be one of the largest energy storage systems in Southern California.  All of these projects were based on our EVS proprietary system design and energy management software for optimal economic dispatching. These contracts reflect successful execution of our EVS technology agnostic strategy, to provide customers with the most flexible and cost-effective energy storage solutions.  I want to call out a special thanks to Akshay Ladwa, our Chief Engineer at EVS and his team for their innovation and agility and speed in the development of the new platform, coupled with an intense customer focus to support the project awards announced today. As well as Marco Terruzzin and his commercial team in winning the trust of the newly announced customers through a relentless focus and a passion to serve their needs, while solving complex problems. With the new market introduction of our EVS platform and services, coupled with the ongoing multi continent deployments of our gravity storage solutions, we are well-positioned to take advantage of what remains a very healthy and growing market. From an industry perspective, demand trends remain robust for storage technology across durations supported by carbon neutral and reduction targets from corporations in some of the largest countries across the globe. If you look at the second half of 2022 and full year guidance, we are expecting revenue in a range of $75 million to $100 million, reflecting gravity project starts as well as newly awarded EVS project starts in Q4 this year. We currently expect adjusted EBITDA in a range of minus $10 million to plus $3 million for the year. As we look at 2023 and the Gravity and the EVS projects awarded and underway, as well as early development activity in China referenced earlier, we are expecting the aggregate revenue for 2022 and 2023 in line with our original investment plan, for a total of approximately $680 million across both years.  We continue to see many positive regulatory macro trends that will benefit Energy Vault's business trajectory. We are excited about the announcement this past weekend of the approval and the Senate of the Inflation Reduction Act and believe that the inclusion of the standalone storage, ITC, and support for clean energy initiatives will continue to greatly benefit our growth strategy and that of our customers.  Our gravity and battery storage solutions are seen heightened demand due to this economic value, we are able to create without ITC or tax subsidies, but this legislation will serve to support and accelerate our growth trajectory. Additionally, we continue to make good progress in the build out of our global supply chain and other infrastructure capabilities as we execute on our initial projects and continue working to source and qualify critical materials and establish key supplier relationships globally.  For our EVx gravity solution over 50% and up to 75% of our solution is source locally within the region eliminating some of the challenges facing many other stored providers in the industry while maximizing the application of the regulatory incentives for local content and job creation. I also want to highlight a key action that the Board implemented and extending lockup agreements for 100% of the executive officers who held equity awards that vested on an accelerated basis upon the closing of Energy Vault’s business combination in IPO in February 2022, impacting equity awards, underlying a number of the shares that equal to approximately 5% of the shares outstanding as of June 30 2022.  This underscores our alignment with our shareholders and the long-term vision and belief we have in our strategy, and the team we are building here at Energy Vault. We are all results driven management team and are all laser focused on creating long term shareholder value and maintaining a discipline capital allocation approach to ensure profitable growth.  To wrap up, I'm very pleased with the commercial progress we have made across our gravity and the new capabilities we unlock for customers with our new EVS platform. Stay tuned for more exciting announcements to come. As we continue to be actively engaged in advanced discussions for multi-gigawatt hours of projects across 4 continents.  I will now turn the call over to David Hitchcock, Energy Vault's Interim Chief Financial Officer to cover our financial results in more detail. David? 
David Hitchcock: Thanks, Rob. Relative to our financial results for the second quarter of 2022, revenue in the quarter was $1 million reflecting construction support services to support the 100 megawatt hour project in Rudong, China. Second quarter gross profit was $0.4 million driven by the construction support services revenue, through 6 months we've reported revenue of 43.9 million driven by the Atlas License Agreement booked in Q1, and gross profit of $43.3 million.  Total operating expenses were $22.4 million in Q2, roughly flat with the $22.1 million reported in Q1 of this year. Stock based compensation was $6.7 million in Q2, down $2.5 million versus Q1 2022. Excluding stock-based compensation, operating expenses were up 2.8 million versus the first quarter. Sales and marketing costs for the second quarter of 2022 were $1.9 million compared to $2.6 million in Q1 of this year. Excluding stock-based compensation sales and marketing expenses were down $600,000 versus Q1 driven by a decrease in marketing costs related to the IPO.  Research and development costs for the second quarter of 2022 were $9.8 million compared to $9.7 million in Q1 of this year. Excluding stock-based compensation, R&D expenses were up $900,000 versus Q1 driven by an increase in EVx [testbed] activities.  G&A for the second quarter increased to $10.7 million compared to $9.8 million in Q1 of this year. Excluding stock-based compensation, G&A was up $2.5 million versus Q1 driven primarily by cash compensation, professional fees and personnel and recruiting costs. In total, we ended the quarter with 129 headcount across the company, up 38 heads or 42% versus March 31 as we continue to build out the team to deliver for our customers and execute as a public company.  In line with our business plan, we expect that our operating expenses will continue to increase on a sequential basis, as we further expand globally and invest in the overall growth of the business. Operating income for the second quarter of 2022 was a negative $22 million compared to a positive $20.8 million in Q1 of this year, driven by the lower revenue and margin as we recorded 42.9 million of licensing revenue in Q1. Through 6 months, our loss from operations was $1.1 million.  Second quarter 2022 adjusted EBITDA was a negative $14.2 million compared to a positive $31.2 million in Q1 of this year. Our earnings release in 10-Q which we filed this morning include a bridge from net income to adjusted EBITDA. The key non-cash or non-recurring items that we added back are the 6.7 million of stock-based compensation and the $14.6 million gain reflecting the change in fair value of our warrant liability relating to our public and private warrants. On a year-to-date basis, adjusted EBITDA is a positive $17 million.  As of June 30 2022, we had approximately $299 million in cash and cash equivalents on the balance sheet, leaving us well positioned to continue to progress towards our growth objectives in 2022 and beyond. In Q2, we used $10 million of cash from operations, which was partially offset by the cash exercise of warrants in the quarter.  Finally, I'm placed a report that as of August 2, 2022, we redeemed the 8.9 million of outstanding public warrants as of June 30 2022, starting in Q4, we will no longer be marking these instruments. We still have the 5.1 million of private warrants outstanding.  I'll now turn the call back over to Rob.
Robert Piconi : Thanks, David. Again, I hope you get a sense from what we discussed earlier in the commercial side of how pleased I am with the progress that team has made to the first half of this year and making substantial gains and advancing our goals and building out a growth platform with the requisite infrastructure and team to deliver with it. We're very well positioned now through the second half of 2022 driven by the factors we've reviewed above the most of which important are 3. First, strong customer commercial validation from some of the largest customers in the energy sector, focused in the highest growth countries and regional markets for renewables and energy storage.  Strategic investors, who are coincident as customers and playing active role in helping guide and support the company through our Strategic Advisory Board, which held its first session this past month in July 2022. I'll also note that this focus on customers and listening to our customers and investors has served us well as we proved out the technology at scale with the first 5 megawatt system in Switzerland and helped to influence the evolution of that to our new EVx platform announced back in 2021. This has been fundamental that's helped to guide our company and keep and maintain our customer focus on the business.  Second, a unique and unmatched energy storage portfolio that can serve customer needs across various durations and storage technology medium as evidenced by our recent project award announcements, no other energy storage companies are making announcements across both long and short duration projects. Announcing multi gigawatt hour development of gravity energy storage projects in one of the largest energy storage markets in the world of Australia and our first 3 EVx project awards from customers totaling another 1 gigawatt hour is not something that comes without dedication and a relentless focus on execution, while ignoring the noise.  And third and finally, the foundation of all we accomplish as a company every day starts with our people, who share a passion for our mission of decarbonization, and most importantly, serving customers. With that operator, we're now ready for questions.
Operator: [Operator Instructions] Our first question is from the line of Joseph Osha from Guggenheim Partners.
Joseph Osha: My compliments on all the announcements, I have a couple of questions. First looking at these energy bulk solution wins that you just announced, are they all hardware integration plus software? And if so, I was just wondering if you could give us maybe some rough sense as to what the contracted software revenue might look like for that gigawatt hour of once you just announced?
Robert Piconi : Joe, it's great to speak again. We are in New York here, so we're on East Coast time. To your first question, the answer is yes, that those projects include hardware integration and software both, okay? They'll also include, as you would expect, long-term service agreements in addition to the initial hardware integration and software that gets implemented. Secondly, relative to those three contracts, you can expect something in the range of $350 million or so of revenue across those 3 specific projects that we referenced today.
Joseph Osha: Okay. And are you able to -- obviously some of that, are you able to talk about contracted software revenue for that, because that's where the juice is, so to speak, is that something you're able to speak to?  speak is that something you're able to speak to? 
Robert Piconi: We're going to be giving more updates on that software components that revenue, as we get into the specific customer announcements, Joe, so we'll be able to share more then with you. 
Joseph Osha: Okay. The second question is looking at the remainder the year in that 75 to a 100 million target that you put out there. And then just sort of looking at timing and so forth. Should we think about the remainder of the revenue this year coming from EVS coming from additional monetization of this first China, Rudong project? Or I see, you've got a -- sounds like you're breaking ground on an --, where should we think about the remainder that revenue coming from? 
Robert Piconi: Yes, it's going to come from a combination of our gravity projects that we announced, and also some of the starts on in particular 2 of the announced awards on the battery side in Q4. So those -- that's what you can expect for the rest of the year. There would also be some additional revenue rack from the initial IP license. And that'll continue to sort of trickle in for the remaining amounts there. 
Joseph Osha: Okay. And then the last question that target for next year is quite something, although I think your previous reference to the 350 million may have given me some sense there? To what extent are you able to help us understand that build up to that now it looks like $580 or so million in revenue for next year and how much of it might be that 350 you just referred to on the ABS side. 
Robert Piconi: Yes, well look, so that number essentially, as we stated, is reflects, if you look at our first two years, 2022 and 2023 essentially a slight shift from 2022, given the ramp up of the project into ‘23. And with everything we see today, both in terms of announced project awards, some of those have pretty quick CODs into the mid part of next year. And so that gives us a lot of confidence relative to the revenue that we put out there. In addition, we have in our advanced discussions on other projects that we see fairly near-term closure on in terms of getting the deals done that then would impact as well next year. So that's what essentially led to revenue range there. 
Joseph Osha: Okay. But just, and this will -- then I'll go away after this question. Can you -- to what extent can you help us maybe under, because that's extraordinary, right? You're going from if you look at this year Atlas, plus maybe you got sort of another 25 million, 30 million revenue to 580 that's quite [indiscernible]. So I'm just wondering if you can help us maybe at a, just a very high level understand what the build-up of that number is for next year? 
Robert Piconi : Sure. Well, as I said, we have a 350 million plus from just those some of those additional EVS projects. We also have some gravity projects underway, and as you can imagine, we're involved in a lot of customer activity and discussions across our main regions. And I spent some time on the China talking a little bit about China, and the development that's going on there. So there's a lot of government support there locally to get removals deployed there's targets that, of course China's put out by 2030 and 2060, they're really serious about. And so our local partners there are really focused if you listened in a bit on the color I provided, we see a lot of strength and opportunity there in those markets as well. So I'd say that's -- we don't take that lightly. It is a very large ramp of revenue but it is something that we have a pretty good line of sight on just relative to both what we have in awards, as well as the discussions we're having with customers. And as you -- as you get a sense of the numbers of the size of these deals, Joe, one thing you, I imagine you take away there is, we aren't announcing 50- or 60-megawatt hour deals. These are multi hundred megawatt hours of deals that again, not something hopefully that that's lost on people.  So when you look at the size of the projects we focus on, okay, but for gravity, we're focusing on large utility scale, massive projects, a lot of that's focus too, on the industrial segment. So I think size and scale matter for our focus, we're not really focused on a lot of smaller deals and getting things done there. It takes a lot of time to get deals done, right? We saw that this year. I would've loved to have contracted a quarter earlier on some of these things, but these deals take time to get done. And there's a lot of complexity that customers are facing, so you got to get it right. You got to get it right for safety as well and reliability and customers spend a lot of time with us on that. And our teams, our technical teams spend a lot of time working with customers and ensuring they have the right architecture set up so that everything can operate effectively.  So, anyway, that's the color I'd give you at this point. And of course, as we get into next quarter, and I think we're going to be speaking again in November, we'll have more information to share on our progress, as far as project awards and bookings and things that that will hopefully shed some more light on as we look at 2023. 
Operator: Next question is from the line of Stephen Gengaro from Stifel. 
Stephen Gengaro: So a couple things for me, and I'm just going to ask one more on the ‘23 revenue guide. And that is, if you look at it right now, can you tell us how much is contracted, how much is in advanced discussions and how much is expected? Because one of the big questions we get is sort of the revenue ramp in general. And since you kind of reiterated your sort of 2 year cumulative revenue guidance, it would be great to get a sense for the visibility there. 
Robert Piconi : Sure. Well, as I referenced, as we announced some of the new EVS projects, you can think about those in the 350 million plus type of range on those. And what's interesting about them, two of the three have mid 2023 CODs, so that, I think that's important relative as we think about recognition, meaning these are projects that are urgently needed by the utilities. A lot of them in California that have urgent needs. So that's on the one side, obviously the battery system side, those deals tend to turn a little more quickly, obviously, because we're not building gigawatt battery factories, we're -- you're buying and integrating our software. So those deals tend to turn quickly and we have, I'd say, in the hundreds of millions of Gravity Energy towards projects that we see. And those obviously come over longer periods of time, because it takes a little longer to build out those systems and they're larger projects. They are larger projects. So there's a mix of that.  That's about all I want to say at this point. I think as I mentioned, to Joe's question, as we get into next quarter, Stephen, and we will have better visibility of course on the progress through this quarter, bookings and new project awards and be able to shed probably a little more color on your question. I think, we felt comfortable saying something about 2023 even though we're only halfway through this year just by the nature of what we have underway in awards and project awards and what we have in discussion, where we have actually been selected and we are finalizing a contract where we have been shortlisted getting through a competitive process. So this is our -- it's our first year, our first deployment year this year, so obviously it's a little dynamic. But feel good about the mix of our portfolio here and what we are looking at for next year.
Stephen Gengaro: Okay, thanks. And when we think about these three projects with sort of battery storage involved, I think it's lithium ion, is that a customer decision? Is that an application? And how does that sort of fold in with the overall strategy of the company and the margin profile?
Robert Piconi: Yes. Well, yes, these are all customer decisions. So that's who we work for and that's what our focus is. And in terms of the applications, they're pretty diverse. Some of these customers that we have developed relationships over many years now have shared with us what they are trying to solve for. And they've got -- Steven, they've got both short duration needs, they've got some longer duration needs that are going to be coming. They're looking at hybrid architectures, for example, between long and short duration and even looking at things like green hydrogen and hybrid systems with batteries and looking at unique ways to solve some of their storage needs and really ensuring that they are going to have the capacity at the right time. So I would say what's interesting and how core this is to your -- the final part of your question how does this impact in our strategy with what we are announcing around the software side of our business now. It really became clear to us a few years ago as we started to build our first commercial system at scale on the Gravity side as we were getting feedback from customers that led to, of course, the development and the shift in the form factor to the new EVx platform. They were also sharing with us, what they needed to do to manage both generation. So think about that as wind, solar as well as in some cases their existing fossil fuel that they're managing into multiple different storage solutions that they are managing. So when you think about that complexity, it became very clear to us back 2019 and through '20 that we really need to accelerate the part of our vision around the world software that's going to play in helping our customers evolve and supporting them. And that's what led to some of the priority on us getting the right team in here with the announcement back in November of John Jung and Akshay Ladwa joining the team and my has that moved quickly and that was 9 months ago. And here we are announcing a gigawatt hour in project awards alone. I don't know another company that's done that. So that's what I'd say about your question. 
Stephen Gengaro: And then just one final one, your original, and I know there was sort of co equity investment in a lot of this, so I think that's changed, but your original guidance had give or take 200 million of capital spending in ‘22 and in ‘23, any updates on that and what the cash use looks like over the next two years? 
Robert Piconi: Yes. I think, David, you want to comment on that? 
David Hitchcock: Sure. First of all, I'll provide a little bit of clarity on the rest of this year. As said in the prepared remarks, we wrapped up the second quarter with roughly $300 million of cash. As we look across the rest of the year and what cash we expect to use as we ramp up these initial projects, we expect to end the year with the cash balance between $260 million and $280 million. Secondly, when you looked at that original plan, there were a lot of CapEx equity-based deals that their team was expecting at that point in time.  We really haven't seen a lot of those as the business has worked through this initial year. And there is one project that we're looking at now that could be in that space. But we need to continue to evaluate that and make sure we understand exactly we want to go there, but there's no projection in front of us right now, where we're going to be spending $200 million a year on CapEx for that type of build, as they expected a year ago, that most of the deals that we are talking now the customer wants to own the project, and wants to own the system.  So the CapEx -- our CapEx view, aside from maybe that one project, which we can probably shed some light on by next quarter our CapEx needs are going to be relatively light across the rest of the year. 
Robert Piconi : Yes. And that's one of the -- of the business model we have, we're very CapEx light in general. And to just emphasize something, David said, our customers want to own these, they want to own these projects, and, and that's I think important for us and just allows us to, with this 300 million of cash that we have as you saw in the quarter, we had very limited cash burn. I think a net 4 million, and strong cash into the end of the year and with no debt, of course. 
Operator: Our next question is from the line of Thomas Boyes from Cowen. 
Thomas Boyes : I had a couple. First, given the progress in China, I was just wondering if you could talk about what your expectations are around construction and commissioning as changed at all from when you initial put out your, it was like 12 months or something to build facilities that still a fair expectation? 
Robert Piconi : Yes. I think, we said, I think for the first time now that we're expecting in Q4 now mechanical completion of that first a 100 megawatt hour system. So they really are progressing well even with the Shanghai lockdown that they had. So they as we mentioned have over 1200 piles in the ground hour and are starting the foundations now next month and are going to be coming up out of the ground. So we're really happy with what we've seen in the progress there, not only on the core project, Thomas, but as we mentioned, and I gave some color -- quite a bit of color on the development activities that stretch across some of the state own entities there on the utility side, as well as some of the regulatory groups that are supporting the technology development and implementation of new storage technologies there. So it's great to be on the ground floor there the storage markets are developing and as China is putting much more emphasis on the shift to renewables.  So, anyway, so we're everything moving well, there we are going to be, as I mentioned in my opening remarks, more involved as we get into the commissioning activity. We are opening a wholly owned foreign entity there that just gives us a lot more flexibility. I think, to support the local markets work with China Tianying, there in Atlas, renewable. And more broadly, support other regional markets where we can leverage China, where it makes sense. 
Thomas Boyes : Maybe just to kind of build off of that since construction is going well over there, but it's happening at a time where there is inflationary pressures and for cost of construction what learnings have you had at that builds that you think that you could translate as far as controlling costs in the US or Australia? 
Robert Piconi : That is a great question, and really this has played so well for us in having our first full scale EVx system being developed and built there, we're obviously using a local supply chain there 100%. So a 100% local supply chain for all the materials, all the power electronics that we're implementing there. And we're learning a few different things. You mentioned, there's things on what we're seeing on the cost side and the core material cost and power electronics, that's been very helpful with the local China supply chain. But in addition, one of the things we're doing with this system is we're implementing some of the newest cost reduction and new architectures, right away. So right out of the gate.  So our roadmap of activity that we look at from a design perspective and things like eliminating some of the infrastructure out of the power electronic side, for example, out of our -- and into our lifting mechanisms for the system, looking at how we are looking at the foundation and the piling activity and looking at constructability. So looking at optimization around how we construct the system all of those things we're implementing into this first system that then we'll be learning and you rightfully mention Australia. So it's a very interesting sequencing here that we're going to be first and have a lot of learnings. I'm sure, as we get into the commissioning of the first EVx system, I think the good news is it's not a small system. I mean, it's a large 25 megawatt, it's a 4 hour system, a 100 megawatt hours.  So all of those learnings, I think are going to translate into what we're looking at in a very large and evolving market in Australia, for example, from a local region perspective. But the other learnings are going to come for all of our global deployments in EVx all over the world, including the US. 
Thomas Boyes : If I could, I'll sneak one more in jump back in the queue. Just could you give some insight into what kind of opportunities that you're seeing over this next call 18-month period, as far as it relates to duration? My assumption is that it's still probably mostly in the 2-to-4-hour range, but I was just wondering if that's true or maybe if there's longer duration systems that are kind of in the pipeline for where you have in your guidance set up?
Robert Piconi : Yes. It's interesting. We probably can uniquely answer that question, given we're playing across short and longer duration, right? So this is a really interesting question. The market continues to be in the bulk of the market and you can look at all the market data focused in more of the 2-to-4-hour range. Now while saying that, what I'd say about us and our customer base, remember the strategic investors we have in BHP for example, the Korea Zinc Group, which includes dark energy and fundamentals that has a stated strategy of being one of the largest green hydrogen producers out of Australia, groups like Saudi Aramco.  When you look at these types of investors that are coincident with customers, the industrial players are making this transition and a lot of that's going to require the production of green hydrogen. That's going to mean, longer duration storage of at least 8 and typically up to 12, I think we announced with DG fuels, a IFRS 16-hour storage. You need that longer duration because you are driving a process of electrolysis with an electrolyte electrolyzer where you are splitting water and making green hydrogen. So because of that on the industrial side, you have to have something that's 8 to 12 hours, better not to grade because it's going to get way too expensive and that's where our Gravity really comes in and plays strong. And really, there is just not a lot of scalable and low cost, long duration storage technology. There is a lot of development. There is a lot of new solutions that are in process of getting to a first demonstration unit. We were ahead of the game. I think in this case with our first 5-megawatt system in Switzerland that we in 2019 went right to market to prove the technology at scale, and that's what led to all the diligence that we had from some of the largest energy groups in the world that, I just mentioned that the diligence on the tech saw working and working as planned, saw the round trip efficiency we are achieving in Switzerland there, and that led to the progression in getting to their needs for longer patient storage. So, a little bit of a mix that given our specific customers said, that we work within on the industrial side, I'll say, and also with players making, for example, sustainable aviation fuel. So those type of projects, while they are longer-term and a little bit further out, I think I mean these are things that are getting developed over multiple years. They're very large in scale. So we are going to see more and more on that longer duration play in our portfolio in the coming years and it's going to be a ramp, as we get that that industrial segment up and going. And the great news for us is, we have got with our new software platform the ability to help our customers develop and implement shorter duration solutions with the same type of software platform.
Operator: Our next question comes from the line of Brian Lee from Goldman Sachs.
Brian Lee : I appreciate all the high-level color and kind of thoughts around the market. It's really visionary kind of what you guys are doing and all the momentum you have here. But I have a couple of sort of more I guess, nuts and bolts types questions, just as I think about the model here and all the moving pieces. So maybe first off, on the margins, this battery storage all these project wins quite impressive in terms of scale and timing, but it's not your technology. It's not the gravity storage. And we see players like fluence and others barely maintaining single digit gross margins on these types of deployments EVx the software piece of the business. So I guess simple question is what are you going to make margin wise on being a battery storage deployment company for that kind of $350 million of revenue opportunity versus, what you might make on a similar $350 million where you're selling the EVx systems. That’s my first question. And then I have a couple of follow ups. 
Robert Piconi: Sure. Well, look, let me also, as I did in gravity, I provided a lot of color and on the types of projects, let me do the same, a little bit on the battery side, because this is I wouldn't look at us as, and put us in the bucket of for example, fluence necessarily. The types of projects that we're looking at. And the problem for solving for customers are pretty complex where they need, for example they have limitations on space, for example, so they need more creative solutions than exist in the market for energy density. So that puts some of the players that you might expect sort of out of that equation if they can't support certain architectures.  We also -- in these projects, we've announced are putting in place architectures that in some cases represent hybrid of in combination of technology, and we'll be able to share, I think, more details on that. And then, we obviously are doing things with our software and on the service side that beginning here, Brian, obviously, it's a little early for me to give you an expectation on that, because we're not a 5- or 10-year player in that space, obviously we're just announcing these new project awards. We're going to be executing on these here into -- starting Q4 and through into 2023. And we'll be able to give, I think a little better indication on that is post our Q3 quarter. 
Brian Lee : Okay, fair enough. I mean, maybe simple question just since you are benchmarking the initial financial model ‘22 slippage is feeding into a better ‘23. So the aggregate ‘22, ‘23 revenue is in line with what your prior financial model was targeting. Would you say the same about margins given this mix shift which seems to be playing out as well? 
Robert Piconi: Sure. Well, what I'd say is based on what we're seeing in the ramp up on both on the gravity side and even within the battery portfolio, that mix now is going to have an impact, I think, on what we've had historically in our business plan before, because we have a little different mix of things. We have some things on the positive side, Brian, as because you've, I think pointed this out as we've talked before, we have the ability to license the technology in particular, obviously that means gravity in some places, the world now we had always assumed we were going to be doing some of that. We obviously got a little bit earlier on as a start, which is always nice to have as a deal like we had with Atlas and China.  So that was obviously a little larger earlier we than we had anticipated. So those types of things will be helpful to our overall margin profile. I think, on the new, as we ramp and build out gravity now and then, deal with some of the supply chain areas and just the demand on for example, the EPC companies alone. So I think one of the things I'll give you some color on. As we look at early margins, you've got EPC companies that all are very, very busy, number one. Anytime they're going to build something new and I'm speaking gravity now. So they're building these integrations of lifting systems and power electronics and things that have not been built before, what we saw in the mid part of the year on some of the quoting we had done was a lot built -- having the EPC companies build in just a lot of contingency and a lot of things for the unknown on the labor side, for example, and that shifted a bit. Therefore, our strategy on what we were going to staff to be involved in, meaning for us to be a little more involved therefore and some of the innovation on the constructability side.  So I'd say from a margin profile perspective, we're going to be taking and factoring this new mix into the rest of this year and into next year. Now provided a little bit of the EBITDA, adjusted EBITDA guidance, I know we didn't give any guidance yet on the specific unit economics, but I am expecting an impact to that gross margin to believe a slightly lower than what we've had out there relative to this new mix as we look at 2023. But we're going to be getting more information on that here over this next quarter, and as we actually start executing projects. So, and that's -- I think that's key because we're actually going to be building recognizing revenue against these projects. And we'll be in a better position with every quarter here. And that's part of Brian being a new company that's deployed solutions as planned for the -- in our first deployment year. And also, some of the longer timeframes on the gravity side to have those built out. I mean, those projects are 9, 12 plus months for systems and can be longer if we get into the 500 megawatt hour plus, which some of those projects are as you know.  So, I know that's not exactly the in-depth clarity, but just to give you some indications. We're going to be absolutely having to update our mix across, I'd say those three areas, licensing gravity and our EVx sort of integration platform. And that's not only going to be batteries. So, we're going to be updating that mix and be able to provide hopefully a little more granular level as we get post Q3 
Brian Lee : I appreciate the directionality. I know there's more things to kind of get ironed out here before you reveal the specifics. So that's helpful though. Maybe last one, just again, kind of logistically, and I'll get back in the queue. Can you talk about for these large project awards you're announcing today, the 3 battery storage, who the battery suppliers are. I mean, the COD in mid ‘23 is great, because it means real line of sight to these projects moving forward, but have you secured the supply? What's sort of your situation on the ground in terms of lithium may on battery suppliers pricing those contracts out, getting the delivery schedule?
Robert Piconi:  Sure. Look, we aren't going to provide specific names of the battery players just know that we're working with some of the most well-known players in the world there. We've also done a lot of development work on our own there, I mean, China's a presence for us, as you can imagine for the last few years of what we're announcing the last year, obviously as a result of us spending significant time in the region. So I would say that we are looking there to leverage the market as best we can, as well as do some development between some players there that are doing some unique things I think on the battery technology and how that integrates with some of the things we're doing in software. For everything, we are going to be doing, Brian, I hope you get a sense, we're never going to be me too. We look at everything as how do we innovate and do something to provide value to customers that they aren't potentially finding in the market. And that innovation isn't just there because we want to say, we're doing something cool. That is all about unit economics. That is all about unit economics. If you are going to differentiate and do something others can't, there is a premium you can extract I think for that or you are doing something more cost effectively at the marketplace to really focus on that and driving that economic weight both for our customers and for us, quite frankly.
Operator: Our next question comes from the line of Noel Parks from Tuohy Brothers.
Noel Parks: So thinking about some of the comments you are making about implementing technology improvements as you go for example, the projects in China. I just wondered, could you maybe just talk a bit about what's maybe in motion technology wise, either whether you're talking about implantation construction or even all the way back to further progress on the material side. So just to give an idea of what's kind of being updated as you or just getting more attention as you go along with implementation and then design for the next rapid projects?
Robert Piconi: Yes, it's a great question. So let me start with gravity. And if you look at our gravity solution and think about the buckets of where our cost is. It starts with sort of the fixed frame and the foundation. So if you just think about you're building a house, right, that's what we're building as a structure. So that starts with that foundational element, where I think I mentioned this before, but we are working with some of the leading research players in civil engineering. So for example, from Caltech, We have the Chair of their seismic and civil engineering group, Dr. Jose Andrade to join the company a year ago and is dedicated with us, because of the nature of what we are doing as we build these structures and build them across different type of geological profiles. So that's a chunk of the cost that, we really look to get at and innovate and that includes looking at alternative materials, okay? Then that fixed rate component in particular, there is a lot of different ways you can structure a building. You can use steel, you can use prefabricated concrete and there is also a lot of ways you can get at that constructability cost, which as I mentioned to one of the earlier questions from one of the analysts. This aspect of the time to construct and how you optimize to shrink that timeframe, how do you automate to minimize that labor component, while that labor component is much lower cost in places like China and other places like the U.S It's very, very high, especially in this market, especially in this market. So if we can innovate and provide a way to automate the building of these fixed frames for example in components, in pre-fabricated sections, in using automated trolley, for example that can leverage the infrastructure of the system itself. There's a lot of things that we're looking at there to address that bucket of cost. And of course, with the first system in China, we're going to be looking at how these things play out in ways to optimize it, because we're going to be learning on these first builds.  There's a second piece around the power electronics, that's the other chunk of cost, and that's all the motors, inverters, variable frequency drive. And in our case, in the gravity side, we have these listing systems, these vertical lifting systems. So think vertical freight elevators, right? The large ones that are lifting essentially 25 metric ton blocks which are the composite blocks. So that's another area that we look at innovation in there, that gets down to hardware elimination, meaning coming up with architectures where we eliminate gear boxes or the active front end or the variable frequency drives in favor of mechanical systems that work differently for example, in the process of how we're lifting objects. So I think there's a hardware meaning think about that as CapEx, right? For customers. So trying to reduce and get at that CapEx equation to take hardware cost and coming out, there's obviously a volume component of that. So as we look at multi megawatt motors and try to look at innovation in that space, that's an area that we'd like to honestly see more innovation and therefore lower cost and more efficiency.  We're using motors that are going to be anywhere from 96% to 98% plus in terms of efficiency there for a portion of the architecture. So I think, we're balancing innovation there to take material costs out, as well as to improve round trip efficiency. And that's an -- that improves economics, right? Because what does that mean? That means for every unit that you store, we're able to return more of that unit without loss back to the grid. So I hire round trip efficiency means there's less loss in that process.  So that's what I'd say around this second part around the power electronics and fixed frame. The third has to do with these mobile masses that get built. So those are these composite – these 25 metric to composite blocks. There are thousands of them per system. So you can imagine as we eliminate the using concrete. So this is part of our focus on sustainability, but as well as cost, we aren't using concrete in the production of those composite blocks, we're using as a default solution soil. So that's available locally.  In addition, we can use waste materials and where we can do that. We're going to try to do things like coal ash, tailings from the mining process. And as we announced with Enel Green Power, looking at the integration of wind blade -- decommissioned wind blades, and that fiberglass, that otherwise have to be burned or buried. So we look at trying to recycle that. So those are the areas around cost that we try to get in gravity. And then what I'd say about EVS is I mentioned this to the last question, also that, I think Brian had, but also that Stephen touched on is, we're looking at trying to innovate to do things between the battery suppliers and our software in a way in helping customers solve some of their complex problems that can help us take cost out to the overall solution and provide something very value added to customers.  That includes by the way, looking at different hybrid architectures to uniquely provide, for example, backup systems with multiple technologies. And we'll be sharing more about that in the future here as we execute. 
Noel Parks: And one thing as you talked about, and I'm just trying to picture projects that are in construction all the way out to the various horizons of planning and specking and scaling to assign the requirements. So, as far as lead time where -- there must be a point where it's kind of a drop dead as with the plan as far as we're not going to try to add anything innovative you for the six months or whatever before this project start. So just -- can you give a sense of how the, the timing of that happens? When -- you're trying to integrate these advancements into a project? 
Robert Piconi: Yeah, by the way, it's a great question. And it's also a balance. So, as we sign contracts, they have deadlines, they have CODs that we have to respect, and our customers have those -- obviously those same constraints relative to hitting numbers. So what does that mean? For example, for our projects that we're implementing in places like the US, we have to get started. So that means that we might be a little more conservative with the materials to start to make sure the technology's proven on first deployments, you can translate that into higher cost because we may not have tested yet some of the new innovation and cost reduction. So, as I mentioned, we're excited about where China is because we are going to be implementing and testing at commercial scale, large commercial scale. Some of that we're doing testing in Switzerland, we have a test bed for our EVx systems there where we're looking at a few different new cost reduction methodologies there for example, for the trolley and even for the lifting system.  So, there is a balance, and we do have to just essentially go with what we have at a certain point and know that we're going to have a roadmap to get there. And that's why -- Noel, that's why we capitalize the company the way we did. David mentioned this and when someone asked about CapEx in our original plan, we had, I think over the 3 year period, over $350 million of planned equity investments for projects at that time, thinking that we were going to be participating in projects in a much bigger way with our balance sheet, what was happened in as things evolved is we aren't needing to do that. So we're actually have very, very minimal. I mean, as David mentioned, we only have one project right now where we're looking at building that out on our balance sheet and we'll be sharing more about that over the quarter.  So I say that this implementation of where we're going of -- the cost reduction roadmap and the decisions at a certain point, we do have to make decisions and we go then and execute for customers. And the last thing I'll say on timing is just getting through the contracting process. I mean, as I said, we to be very, just candid and transparent with you, we're hoping to get some of these project awards two to three months earlier this year. And that's just a fact, we were hoping to have some of them even before June 30. And it just, some of these contracts have taken a little bit long. We're happy to talk about them now. So we're happy to -- after you talk about project awards so that we couldn't do that last quarter because we're just working through that contracting process. And again, that's not new to any of us around this table. We have a very seasoned management team that's been in this sector and industry. So, we get it on what it takes to get customers across the line. I will say that, we're solving some pretty complex problems for them that results in a lot of engagement of our technical teams to help do that. But that's why they choose us and then we get through the contracting process, because they see the value of the innovation and how we are creatively solving those problems.
Noel Parks: So it's still very much a very dynamic process and it's not as if there is and off the shelf installation, you can outline to somebody and do a contracting you're done. It sounds like you said a lot of involvement from the technical team just to even get to the contract?
Robert Piconi: Yes. By the way, it's not unexpected again. So just to be clear, we expect that and we always start fairly standard and then we get into specifics and -- but that's part of the value add as well. I mean, for the gravity systems, I'd say that we have a cookie cutter way to just I mean a modular thing just to go out and build it, okay. So that's that for gravity, it's more of doing Geotech in site, a lot of work on the site because we're building a building, right? So that's where some of the work that gets done upfront. So that's a more modular build out. I think as we get into what we are using our EVS software for and solving those problems and we get into different technologies that we are integrating. That's where there's just a little more both creativity and complexity, but that's the value we add and that's why we are getting chosen and selected here for these larger projects.
Operator: Ladies and gentlemen, at this time, we have reached the end of the question-and-answer session. And now, I would like to turn the conference over to Mr. Robert Piconi for closing comments.
Robert Piconi: Okay, great. Well, look, I want to thank everybody for joining our call today. We are really excited with what we have discussed today across the gravity front and the progress we are making in our focused 3 regions that we outlined at the beginning of the year and that's the U.S., China and Australia. We have a lot of activity going on globally. We're very measured and focused as a company to ensure that we focus on these first deployments of our EVx platform as well as the new deployments now with our EVS team that these first ones are very successful. And well I know the numbers are large as we have discussed some pretty large ramp here of revenues, we look into 2023, it does reflect a very focused effort on specific regions and specific customers. And if you got a sense of the size of the deals we mentioned, I think that's a real, benefit meaning we aren't doing 30 deals or even 20 deals or even 15 deals. We are focused on large projects with large customers that have a lot of credibility and are making choices as you heard today for our technology. So I think that's definitely a benefit. It's a strength. It allows us, I think, it's both a commercial and an operational team to keep focused on few but important things. I think less is more in that regard and that's going to help us drive success as we scale and ramp up and learn by the way. So these are going to be first deployment that brings with it some level of execution risk. At the same time, if you look at the management team around the table and I always want to end on this note with the people and the team we have assembled, I really believe we have one of the most experienced, dedicated, I think, motivated and passionate teams focused on decarbonization, but really, really focused on listening to our customers. And that's why you get the nature of being able to announce project awards of this size and with these type of customers and we have a lot in the hopper here and look forward to share more here as we get back together next quarter.  So thank you everyone, and enjoy the rest of your day. 
Operator: Thank you, sir. The conference of Energy Vault has now concluded. Thank you for your participation. You may now disconnect your lines. These forward-looking statements are only predictions and may differ materially from the actual future events or results due to a variety of factors. We caution everyone to be guided in their analysis